Operator: Thank you for standing by. This is the conference operator. Welcome to the lululemon athletica inc. First Quarter 2022 Conference Call. [Operator Instructions] The conference is being recorded. [Operator Instructions]
 I would now like to turn the conference over to Howard Tubin, Vice President, Investor Relations for lululemon athletica. Please go ahead. 
Howard Tubin: Thank you, and good afternoon. Welcome to lululemon's first quarter earnings conference call. Joining me today to talk about our results are Calvin McDonald, CEO; and Meghan Frank, CFO.  
 Before we get started, I'd like to take this opportunity to remind you that our remarks today will include forward-looking statements reflecting management's current forecast of certain aspects of lululemon's future. These statements are based on current information, which we have assessed, but by which its nature is dynamic and subject to rapid and even abrupt changes. Actual results may differ materially from those contained in or implied by these forward-looking statements due to risks and uncertainties associated with our business including those we have disclosed in our most recent filings with the SEC, including our annual report on Form 10-K and our quarterly reports on Form 10-Q. Any forward-looking statements that we make on this call are based on assumptions as of today, and we expressly disclaim any obligation or undertaking to update or revise any of these statements as a result of new information or future events.  
 During this call, we will present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in our quarterly report on Form 10-Q and in today's earnings press release. In addition, the comparable sales metrics given on today's call are on a constant dollar basis. The press release and accompanying quarterly report on Form 10-Q are available under the Investors section of our website at www.lululemon.com.  
 Before we begin the call, I'd like to remind our investors to visit our investor site where you'll find a summary of our key financial and operating statistics for the first quarter as well as our quarterly infographic. Today's call is scheduled for 1 hour. [Operator Instructions]
 And now I would like to turn the call over to Calvin. 
Calvin McDonald: Thank you, Howard. I am pleased to be here today and share with you the highlights of our quarter 1 performance. It's been just over a month since I saw many of you in person at our recent Analyst Day presentation in New York. These are exciting times for lululemon as we embark upon our next 5-year growth plan, the Power of Three x2. Our teams are energized and deep in the work of the plan we shared. I look forward to providing you with updates on future earnings calls as we make progress on the key initiatives we laid out.  
 However, I'd like to spend our time today discussing the macro environment and the unique aspects of lululemon, which continue to contribute to our strong performance. As you saw in our press release, the momentum in our business continues and 2022 is off to an impressive start. Revenue in the first quarter increased 32% versus last year and 27% on a 3-year CAGR basis and adjusted earnings per share grew 28% and 26% on the same basis.  
 There are several notable metrics that underscore our performance this quarter. Starting with product, the guest response to our core and new merchandise remains very strong. Our product continues to drive demand, and we experienced robust traffic growth in both channels with stores and e-commerce up approximately 40%. And finally, we're in a strong inventory position relative to last year. While our levels are higher than our historical norms, we are comfortable with the quality and composition of our inventory. This allows us to balance the momentum we're seeing in the business with the challenges that remain within the global supply chain.  
 With that in mind, I'd like to spend a few minutes on China, given the current conditions related to COVID-19 and its impact on both our operations and supply chain. Consistent with many retailers in the region, we are seeing modest impacts of the COVID-19-related lockdowns on our stores and with some of our vendors. Throughout the first quarter and into the second quarter, we have seen up to 1/3 of our 71 stores closed for a period of time. As I'm sure you've seen, this week, stores are reopening in Beijing, and we are starting to see restrictions ease in Shanghai.  
 Even with the closures, our business remained solid in the first quarter, with revenue growing double digits versus last year and growing over 60% on a 3-year CAGR basis. In addition, our growth plans remain on track as the majority of our 40 international new store openings this year are planned for Mainland China.  
 From a sourcing perspective, when looking at finished goods for the upcoming fall season, Mainland China represents only 4% to 6% of our total unit volume. When we include trims and other components, the volume increases. Although the majority of our vendors are now up and running, we have experienced delays and expect some level of impact on future receipts. Our teams are closely monitoring the situation, staying in regular contact with our vendors and working to mitigate the current risks.  
 Having said all of this, we remain excited about our business in China, and we view the current situation as short term in nature. Our brand momentum remains strong, and we will continue to invest in the region, and we're excited about what the future holds for lululemon in this important market.  
 When looking at the global supply chain, overall, the environment remains challenging. Ocean lead times are not improving and air freight costs remain high. To address these issues, our team is carefully balancing our business momentum with time line uncertainties to help ensure we meet guest demand. This comes with a commensurate investment in air freight, which is important given we see satisfying guest demand as a priority. Our time lines allow us to pivot when we see trends change from air to ocean and all costs are included in our guidance. We will continue to carefully assess and manage.  
 Switching now to inflation. As we mentioned last quarter, we are seeing increased input costs on raw materials, labor and as I just spoke about, air freight. We continue to monitor the situation closely and are taking actions to mitigate the impact on our P&L. These include ongoing cost management, working with our vendor partners to identify additional efficiencies and pricing opportunities.  
 As I've shared previously, we are implementing some select price increases and have not seen any negative impact to our sales volume as a result. However, unlike many in the industry, we do not use promotional pricing as a lever to drive top line sales. Therefore, we are very intentional with our pricing strategies, and we monitor guest response accordingly. That said, I remain cautious around increasing prices in this period of uncertainty, and we will continue to monitor and maintain a measured approach toward this strategy.
 Given the times in which we are operating, I wanted to highlight for you the unique strengths of lululemon, which drive our performance quarter after quarter. We have many attributes that make our brand unique, create competitive advantages and lead to the ongoing momentum in our business. As I've shared before, the pandemic has contributed to a fundamental change in guest behaviors that provide us with compelling opportunities to grow. These include our guests wanting to live an active and healthy lifestyle and looking for additional support related to well-being and recovery, and as normalcy returns, their desire for versatile apparel has increased. 
 Plus, our D2C model provides a strong and direct connection to our guests with incredible insights across every touch point. And we have a very balanced approach to growth across channels, geographies, merchandise categories, gender and activities. And finally, our primary focus on technical athletic apparel creates demand for our product across seasons and mitigates the need for markdowns. All of this positions us for continued growth and we will continue to take a balanced and holistic view of our business. In fact, our business is in the early innings and all levers are contributing to our performance. This is unique, speaks to the strength of our brand and our opportunity to innovate, all while maintaining our momentum. 
 Finally, let's look further at our product innovation. We continue to leverage our Science of Feel development platform to solve for the unmet needs of athletes and to bring new technical features into our merchandise assortment. Our foundational principle is when you feel your best, you perform your best. We utilized the Science of Feel to bring a consistent flow of innovation to our assortment across a variety of activities. Our product pipeline remains very strong, and it's the bedrock of the business.  
 In quarter 1, we launched footwear, golf and tennis, all meeting with great guest response. With footwear, we leveraged 20-plus years of experience designing and developing technical apparel to bring a unique solve to the women's footwear space. Many in the industry design footwear for men and then adopt for women. We designed our shoe for women first.  
 We introduced our first shoe, Blissfeel, in March, and we were proud that it was named the best women's specific shoe in 2022 by Runner's World. The response has been enthusiastic. And since we were prudent with our inventory buys, we have seen out of stocks. Although we expect to be in a better inventory position in the coming weeks, demand has far exceeded our sales forecast. As a result, we do anticipate that we will be chasing into additional inventory for the remainder of the year.  
 Turning to our play activities. Golf and tennis both performed well this quarter. These collections are comprised of pieces from our core assortment as well as styles designed specifically for these activities. This strategy allows us to manage our assortment, grow share of wallet while also leveraging our core and driving sales. We are pleased with these results and will continue to lean into these strategies.  
 Looking ahead into quarter 2, we have several exciting product stories to tell. First is SenseKnit. To continue expanding our run apparel assortment, this week, we launched our newest fabric innovation. After 4 years of research and development, we have brought to market SenseKnit, a proprietary fabric that seamlessly engineers zones of support, breathability and mobility directly into the fabric. Based upon collaborative work with our ambassadors and athletes, we determined the sensation runners are looking with unrestricted lightweight support while also delivering the technical performance and endurance they expect from lululemon. And our SenseKnit collection provides this sensation in 9 styles for men and women.  
 Second is hike. To leverage the versatility of our core as we've done with golf and tennis, we're on track to launch hike in the coming weeks. This assortment will combine elements of our core assortment with new styles designed specifically for hiking. This is an unmet need we heard from our guests specifically as hiking has gained popularity during the pandemic.  
 Next is throwbacks. Our product team has been spending time in our archives to find the best of the best and re-release limited additions of some of our guests' favorite styles, including revamped versions of our Astro Pants, Shape Jacket and Inspire Crop.  
 And finally, footwear, as I mentioned, we are excited with the initial response. We just launched our second style, the Restfeel slide this week, and we remain on track to roll out our next 2 styles later this year, Chargefeel and Strongfeel. This is just the beginning for us within this category, which has considerable opportunity.  
 So in summary, our results and our guidance demonstrate the strength of our business and the momentum of our brand. This is enabled by our omni operating model, our product innovation and our balanced approach to growth. We have shown our ability to successfully manage through what's happening around us, and I am continually inspired by how our teams around the globe consistently deliver for our guests, for each other and for our stakeholders.  
 With that, I'll now turn it over to Meghan. 
Meghan Frank: Thanks, Calvin. I'll begin by saying how excited I was to host our recent Analyst Day and get to meet and speak with many of you in person. As we delivered early on our total 2023 revenue goals, we used Analyst Day to launch our growth plan for the next 5 years. Our new plan builds upon our proven Power of Three formula and calls for a doubling of total revenue from $6.25 billion in 2021 to $12.5 billion in 2026. Hence, we've appropriately named the new plan, Power of Three x2. Our teams are already executing against our new plan, and we're off to a solid start despite the ongoing headwinds in the macro environment.  
 So let me now share with you the details on our Q1 performance. I will also discuss specifics on our balance sheet, including our inventory and cash position. Please note that when comparing the financial metrics for Q1 2022 with Q1 2021, the adjusted operating results for Q1 2021 exclude approximately $8 million of MIRROR acquisition-related costs and our associated tax effect. You can refer to our earnings release for more information and reconciliations to our GAAP metrics.
 For Q1, total net revenue increased 32% to $1.613 billion, ahead of our guidance, driven by outperformance in North America. Comparable sales increased 29% with a 24% increase in stores and a 33% increase in digital. On a 3-year CAGR basis, total revenue increased 27%, an acceleration from Q4. In our store channel, sales increased 36% on a 1-year basis and 13% on a 3-year CAGR basis. Productivity was above 2019 levels and continues to trend that way to date in Q2. On average, we had 98% of our stores open throughout Q1. We currently have 97% open with current closures related predominantly to the impact of COVID-19 in China.  
 Square footage increased 16% versus last year driven by the addition of 56 net new stores since Q1 of 2021. During the quarter, we opened 5 net new stores and completed 4 co-located optimizations. In our digital channel, revenues increased 51% on a 3-year CAGR basis and contributed $721 million of top line or 45% of total revenue. Within North America, revenue increased 26% and within international, we saw a 37% increase, both on a 3-year CAGR basis. And by category, men's revenue increased 30% on a 3-year CAGR basis, women's increased 24% and accessories grew 43% on the same basis.  
 I'm also excited with what we're seeing in traffic across both channels. In stores, traffic increased over 40%, while at the same time, traffic to our e-commerce sites and apps globally increased nearly 40%. On a 3-year CAGR basis, traffic is up over 10% in stores and nearly 40% in e-commerce. This speaks to the strength of our omni operating model as we engage with our guests in ways most convenient to them.  
 Gross profit for the first quarter was $870 million or 53.9% of net revenue compared to 57.1% of net revenue in Q1 2021. Our gross margin decrease of 320 basis points relative to last year was driven by a 370 basis point decrease in product margin. Q1 product margin included an increase of approximately 340 basis points in air freight related to macro supply chain challenges, which was higher than our guidance of 300 basis points due to increased usage relative to our initial plans.  
 Markdowns were approximately flat with last year. Relative to 2019, markdowns decreased by 40 basis points. We also experienced 10 basis points of deleverage from foreign exchange. This was partially offset by 60 basis points of leverage on fixed costs, driven by occupancy and depreciation.  
 Moving to SG&A. Our approach continues to be grounded and prudently managing our expenses while also continuing to strategically invest in our long-term growth opportunities. SG&A expenses were $608 million or 37.7% of net revenue compared to 40.5% of net revenue in Q1 2021. Leverage in the quarter versus Q1 2021 resulted from leverage in our store and digital channels, somewhat offset by increased investments in the corporate SG&A and depreciation. Operating income for the quarter was $260 million or 16.1% of net revenue compared to adjusted operating margin of 16.4% in Q1 2021 and inclusive of approximately 340 basis points of additional air freight expense.  
 Tax expense for the quarter was $70 million or 27% of pretax earnings compared to an adjusted effective tax rate of 24.5% a year ago. The increase relative to last year is due primarily to a decrease in tax deductions related to stock-based compensation, and an accrual for withholding taxes on a portion of our fiscal 2022 Canadian earnings.  
 Net income for the quarter was $190 million or $1.48 per diluted share compared to adjusted earnings per diluted share of $1.16 in Q1 of 2021. Capital expenditures were $111 million for the quarter compared to $64 million in the first quarter last year. Q1 spend relates primarily to investments to support business growth, store capital for new locations, relocations and renovations, and technology investments.  
 Turning to our balance sheet highlights. We ended the quarter with $649 million in cash and cash equivalents and nearly $400 million of available capacity under our revolving credit facility. Inventory grew 74% versus last year and was $1.3 billion at the end of Q1. We continue to strategically use air freight to help mitigate industry-wide supply chain issues and support our top line momentum, with these higher costs having an impact on inventory when looked at on a dollar basis. We also believe that 2019 is the most relevant comparison point given supply chain challenges since the beginning of the pandemic.  
 On a 3-year CAGR basis, unit inventory increased 36% relative to 2019 at the end of Q1 and is well positioned relative to our Q2 2022 top line guidance of a 26% increase on a 3-year CAGR basis, again, comparing to 2019. It's important to mention that due to ocean transit times, our in-transit inventory is up relative to 2019 and is contributing approximately 5 percentage points to the 3-year unit CAGR of 36%.  
 I'd also mention that we likely have less guest demand on the table last year as we were under inventory due to supply chain issues. Hence, our product teams have taken this into account as they plan receipts for this year. We also continue to leverage our core assortment, which comprises approximately 45% of our inventory.  
 Looking forward, we expect to see the highest 1 year inventory growth rate of the year in Q2 on both a dollar and unit basis before levels begin to moderate in Q3. In Q2, inventory dollar growth relative to last year will be modestly above levels at the end of Q1. On a 3-year CAGR basis, unit growth will remain up approximately 36%.  
 In Q1, we repurchased approximately 700,000 shares at an average price of approximately $328. At the end of the quarter, we had approximately $955 million remaining on our recently authorized $1 billion repurchase program.  
 Let me shift now to our outlook for Q2 and the full year 2022. For Q2, we expect revenue in the range of $1.75 billion to $1.775 billion, representing 1 year growth of 21% to 22% and a 3-year CAGR of approximately 26%. We expect to open 20 net new company-operated stores in Q2. We expect gross margin in Q2 to be down approximately 200 basis points relative to Q2 of 2021. Our Q2 guidance includes an impact of approximately 150 basis points of pressure from air freight costs due to port congestion and capacity constraints. In Q2, we expect our SG&A rate to be relatively flat with Q2 2021.  
 Turning to EPS. We expect adjusted earnings per share in the second quarter to be in the range of $1.82 to $1.87 versus adjusted EPS of $1.65 a year ago. Our range of $1.82 to $1.87 excludes the $0.07 gain on a real estate sale we expect to realize in Q2. For the full year 2022, we now expect revenues to be in the range of $7.61 billion to $7.71 billion. This range assumes our e-commerce business grows in the high teens to low 20s relative to 2021. When looking at total revenue, our guidance implies a 3-year CAGR of 24% to 25%, which continues to be higher than our 3-year revenue CAGR of 19%, leading up to 2020 and higher than the target of approximately 15% growth we set forth in our new Power of Three x2 growth plan.  
 We continue to expect to open approximately 70 net new company-operated stores in 2022. Our new store openings in 2022 will include approximately 40 stores in our international markets and represents a square footage increase in the low 20% range in total. For the full year, we are forecasting gross margin to decrease between 100 to 150 basis points versus 2021. The reduction relative to last year is driven by increased investment in our DC network and a strategic increase in content development costs for lululemon studio, MIRROR. The increased costs and gross margin will be offset by a reduction in digital marketing, which flows through SG&A. In addition, we now expect air freight to have a modest negative impact of approximately 30 basis points versus our prior expectation of flat.  
 Turning to SG&A for the full year. We are forecasting leverage of 50 to 100 basis points versus 2021, driven by increased sales and the shift in lululemon studio, MIRROR, investments I just mentioned. And when looking at operating margin for the full year 2022, we now expect it to be approximately flat with last year, inclusive of the 30 basis points of incremental air freight expense I just mentioned. For the full year 2022, we now expect our effective tax rate to be 28% to 28.5%. For Q2, we expect our effective tax rate to be approximately 28.5%.  
 For the fiscal year 2022, we expect adjusted diluted earnings per share in the range of $9.35 to $9.50 versus adjusted EPS of $7.79 in 2021. Our EPS guidance excludes the impact of any future share repurchases and the gain on a real estate sale we expect to realize in Q2. We continue to expect capital expenditures to be approximately $600 million to $625 million for 2022. The increase versus 2021 reflects the increased investment in our supply chain, digital capabilities, new store openings and renovations as well as other technology and general corporate infrastructure projects. Our range of $600 million to $625 million is approximately 8% of revenue, in line with our current Power of Three x2 target of 7% to 9%.  
 Thank you. And with that, I'll turn it back over to Calvin for some closing remarks. 
Calvin McDonald: Thank you, Meghan. As you can see from our results, lululemon continues to deliver the kind of performance that sets us apart within the retail industry. Two weeks ago, we held our Annual Leadership Summit and brought together virtually about 2,000 of our leaders from around the globe. We detailed our Power of Three x2 growth plans and spoke to our culture at lululemon and to our purpose, which is to elevate human potential by helping people feel their best.  
 And the passion from every participant, the enthusiasm during every breakout was simply incredible. It reinforces my confidence in all that lies ahead for lululemon as we both navigate what uncertainty emerges and work toward delivering on our goals to double our business within the next 5 years. It's an honor to lead this incredible organization.  
 And now we'll take your questions. Operator? 
Operator: [Operator Instructions] The first question comes from Matthew Boss with JPMorgan. 
Matthew Boss: Great. And congrats on another really nice quarter. So Calvin, what I thought was striking about this quarter was the consistency, meaning across the 27% top line CAGR, you delivered strength across men's, women's, international and North America. So maybe could you help speak to the momentum of the brand versus maybe the expansion of the overall TAM, what you think is really driving it? Any comments on May to start the second quarter? And then just how best to think about your ability to chase upside demand relative to the inventory that you have? 
Calvin McDonald: Thanks, Matthew. Well, I think it -- as you know, and you've heard me say before, we're in early innings of growth, and we continue to experience balanced growth across all of our levers, gender, activity, category, channel and markets. And Q1 was no different. And it plays to our product innovation, plays to where we are in the opportunity and penetration across all of those levers and how we still have room to grow women's while we're working to double our men's business, similar in our physical retail store footprint as we double digital and internationally with our momentum and growth in North America.  
 So it's the narrative that we've been sharing and working towards continues to play out. And as we look forward to future quarters into the future years and doubling our business, it's where we gain the confidence in our ability, knowing what we can continue to create and see that balance across all levers inside the organization. And when I do look forward in the product pipeline, I feel very good that we continue to bring innovation into our own categories of run, train and yoga. We saw a lot of success.  
 We just launched SenseKnit, as you might have seen in the last few days, which is a wonderful new innovation and fabric to help further our strength and run. And the launch of our play activities in the last quarter with the golf and tennis, one, achieved the goal of driving credibility in those activities as well as lifting the core. So I'm very excited about how product is resonating in the pipeline for new innovation and have a lot of confidence that we'll continue to see those growth opportunities as we move forward. 
Meghan Frank: And Matt, I'd just add to that in terms of May, I think we're pleased with the continued momentum in our business as reflected in our 26% 3-year CAGR guide for Q2. And then in terms of inventory relationship to the sales as the year progresses, we feel really comfortable with our inventory position as we move into Q2. The team has done a nice job pulling forward inventory to meet our demand. And we are guiding to 24% to 25% for the full year, a little bit more conservative in the second half, given we have more of a line of sight clearly to Q2 and some of the macro uncertainty in front of us. I feel well positioned overall. 
Matthew Boss: Congrats again. 
Operator: The next question comes from Mark Altschwager with Baird. 
Mark Altschwager: I guess just first, with respect to the updated guidance. It's great to see the momentum. You raised the high end of the guidance both on sales and earnings kind of more than flowing through the Q1 upside with some -- even with some of the incremental macro headwinds that you and others are facing out there. So I was hoping you could just unpack that a bit more. I guess what has changed regarding the plan for the remainder of the year relative to a couple of months ago? And how do you feel about the various levers you have in the business? Should there be perhaps some incremental choppiness with kind of broader consumer demand? 
Meghan Frank: Yes. Thanks, Mark. So in terms of our guide for the second quarter, we obviously have line of sight to the second quarter at this point in time, 26% 3-year CAGR and then it's a little more conservative for the second half of the year, but feeling like our Q1 momentum is flowing into Q2, so comfortable flowing through some upside there. As I mentioned, we do have a little bit of incremental air freight pressure for the year, which we've reported in our guidance. And overall EPS raise also reflects some benefit from tax rate.  
 In terms of leverage, as we move throughout the year, as we've been employing over the last couple of years, we're running multiple scenarios to ensure we're able to meet guest demand as it comes and remaining flexible, pushing in on air freight, but also being flexible there and matching that with demand as well. So certainly using that muscle that we developed throughout the last couple of years in terms of how agile we are in meeting our guest demand. 
Mark Altschwager: And I apologize if I missed this, but could you give us just a little bit more perspective on kind of China, what you're seeing quarter-to-date? I know it's just kind of a mid-ish single-digit percent of your sales, but with the store closures you mentioned, I guess, where is that tracking and what is incorporated in your guidance in terms having -- getting those trends back to full productivity? 
Meghan Frank: Yes. In terms of China, we have approximately 20% of our close -- of our stores closed currently. So 15 out of 71, primarily in Shanghai and Beijing. We've taken that into account in our guidance. We did have 8 of our 10 stores in Beijing reopen this week, and we're also seeing restrictions begin to ease in Shanghai. And the overall impact of that revenue in Q1 was more than made up by strength in other regions. And we're seeing, I would say, overall, the situation improve there. Also keeping a close eye, I would say, on sourcing. A small percentage of our total unit volume comes out of China, but continue to monitor closely there. 
Operator: The next question comes from Ike Boruchow with Wells Fargo. 
Irwin Boruchow: Just on the inventory, Calvin, Meghan, can you maybe just talk a little bit more on -- are there pockets where -- of categories where you feel like you have a little bit too much? Is it broad-based? Like I'm looking at men's, women's, some of the ancillary newer categories, just is there any area where there's a little bit more than others? And then does this change any of your thought on potential markdown cadence into 2Q and the rest of the year? I know -- and I think, Meghan, you said markdowns were flat in Q1, but kind of curious what your thinking is rest of the year. 
Meghan Frank: Yes. Thanks, Ike. So in terms of inventory, I'd say we feel well positioned. If anything, there might be some pockets of inventory where we wish we had a little bit more just given the dynamic nature of the environment and certainly have been where possible pushing into core inventory, which is about 45% of our assortment and doesn't come with attached markdown liability.
 As I mentioned, Q1, so markdowns were relatively flat year-over-year and then 40 basis points down to 2019. We don't -- we feel confident in our top line trend going into Q2 at a 26% 3-year CAGR and well aligned with our inventory growth when adjusting for the in-transit piece on a unit basis and have no plans to change the markdown cadence of our business as we look throughout the year. 
Operator: The next question comes from Kimberly Greenberger with Morgan Stanley. 
Alexandra Straton: Great. This is Alex Straton on for Kimberly Greenberger. I just wanted to ask a quick question. There's all this chatter in the market and some signs we're seeing a slowdown, at least on the lower end consumer. But your results don't suggest there's any weakness across your customer base. So maybe could you talk to if you see any signs of weakness across in certain regions or in certain customer demographics? And can you also just remind us of what the average kind of household income is of a lulu customer? 
Calvin McDonald: Alex, it's Calvin. In terms of the question on health of guest and how we're seeing their spending behavior, I think I got part of my answer out, so I'm going to take it from the beginning. We feel very good about the health of our guests. New guest acquisition has been very strong, current guest spending has been strong, both contributing to the momentum and the growth of the company. We shared with you our traffic numbers, both in-store and online, very healthy. 
 Again, another good indicator of a very engaged guest. We did not experience any real benefit from the stimulus checks last year. And hence, we did not see any material impact as we cycled over that earlier this spring. So as we look forward, we continue to monitor the macroeconomic conditions, but Q1, beginning Q2, see very healthy guest metrics and remain optimistic how our guest is engaging in this category, the versatility of this product and where it prioritizes in their spend and their needs for every day. 
Operator: The next question comes from Lorraine Hutchinson with Bank of America. 
Lorraine Maikis: I wanted to focus on gross margin for a minute. It looks like the 2Q guidance is a little better and full year a little worse, so maybe you could go through some of the moving parts there? And then I was wondering if you could offer some insight on how much of these air freight pressures you expect to recoup in both the fourth quarter and then throughout 2023? 
Meghan Frank: Lorraine, so in terms of gross margin, we're guiding to 200 basis points of pressure in Q2 and then approximately 100 to 150 basis point decline for the full year. The second quarter does include 150 basis points of air freight pressure year-over-year. And then we also have increased our outlook for the year in terms of air freight pressure to 30 basis points. We previously had that as flat. When we look at -- just I would note the operating margin for the full year, it's modestly under 2019, even inclusive of a 300 basis point impact from air freight pressure. 
 So as you say, I think we see that moderating over the long term and certainly see opportunity to recoup that. But at this point in time, I think the supply chain pressures will be with us for the balance of 2022. We'll continue to keep you updated and obviously closely monitoring the environment, and the team continues to balance those decisions, as Calvin mentioned, with our revenue momentum. 
Operator: The next question comes from Brooke Roach with Goldman Sachs. 
Brooke Roach: Calvin, I'd like to get your perspective on how you're thinking about consumer wallet share shifts between categories and how consumers are dressing now versus they may have dressed last year. How are you looking to ensure that the brand remains agile as these consumer preferences shift into a potentially living-with-COVID world? 
Calvin McDonald: Thanks, Brooke. I think the most important factor is core to our product assortment is versatile performance apparel where, although used at times for versatility around the house, our gear is designed for activity-based use. And that we saw an uptick through the pandemic. It has continued as that behavior of activity, outdoor sweats, lifestyle has continued. So that is the essence of the brand and what drives our innovation through our key categories of yoga, run and train as well as our play activities. And that continues as strong now as it was through the pandemic. 
 And with the innovation we have in the pipeline and what I shared and what we've seen through Q1 into Q2, we feel very confident in our ability to continue to grow the assortments in our sales as a result of that. In men's, we have a very strong OTM business, which starts to factor into that lifestyle between to and from the studio. And we're excited about the opportunity to grow that within our women's assortment. 
 But we're seeing strong performance in those categories as well as they do play to trends that have happened in general of how people are choosing versatile functional apparel for every day. But I think the core is we are a performance-based athletic brand. We are supporting our guests in their sweat activities and that is driving the momentum and growth of the business during the pandemic and post and continues to be the biggest fuel of our momentum. 
Operator: The next question comes from Paul Lejuez with Citigroup. 
Paul Lejuez: Guys, can you give us an update on what you're seeing on your average unit costs for the second half and also into the first half of '23. And I'm curious, Calvin, I think you mentioned some cautiousness about passing through higher prices. Curious to how much you're willing to absorb versus what you might look to pass through to customers. And then second question, I think you mentioned 60 basis points of leverage on occupancy this quarter. Just curious what your comp leverage point is on the occupancy line at this point? 
Meghan Frank: Paul, so in terms of AUC, if I put air freight aside, we're seeing modest increases in raw material prices. So no material change in our underlying AUC and continue to closely monitor those impacts, closely working with our suppliers and as we look into 2023. In terms of pricing, we're taking modest price increases on about 10% of our assortment. As we said before, we strategically look at prices in terms of quality and make of our goods and the competitive landscape, and we'll continue to use that as a strategy as we move forward. 
 In terms of occupancy, I think overall, our top line trend, obviously, very strong at the 27% 3-year sales CAGR. And leveraging occupancy to a large degree, given our outperformance on top line as well as the strength of our e-commerce business. We haven't broken out the leverage point, but continue to see opportunity on that line item as we move throughout 2022. 
Paul Lejuez: And just one quick follow-up. Could you just remind me what percent of your raw materials are petroleum-based, somehow tied to the oil -- price of oil? 
Meghan Frank: We haven't quite broken that out, but I can follow up with some additional information. 
Operator: The next question comes from Michael Binetti with Credit Suisse. 
Michael Binetti: Just one quick housekeeping. Meghan, I think you said, to Lorraine's question earlier, I think air freight in first quarter was 340 basis points of pressure, 150 basis points of pressure in 2Q. To get to the 30 basis points of pressure for the year, you're baking in positive leverage in the second half. And I know the comparison as you started paying for air freight last year helps. I just want to make sure I heard that because it sounded like to Lorraine you were saying maybe it would take quite some time to get back some of the air cost -- air freight costs. 
 And then, Calvin, I guess, bigger picture, one thing that jumps out here is the e-commerce business actually accelerating versus the prior quarter on a 3-year basis. I can't say we've seen that dynamic with other brands. There's been a pretty pronounced trend of e-commerce slowing as consumers go back to stores. Aside from just good old-fashioned execution, anything to point out specific in that channel that you think is helping you guys kind of go the other direction of the industry? 
Meghan Frank: Michael, I'll take the first part of that question. So in terms of air freight, we are up against some increases last year as we move into the second half of the year. So expect the air freight impact to be a leverage point in Q4 when we look on a 1-year basis. But I would say in terms of how we're looking at the future, I think coming off of the full year air freight, I think too early to say on '23 how we see that moderating, but do expect to have a leverage point as we lap the high water line in Q4 of last year. 
Calvin McDonald: And on our online performance, I think it's a number of factors. As you said, the growth continues to be very strong, cycling over some very large numbers. I'll start by just talking about our store performance and the productivity in our stores were above 2019 levels. So the benefit is the success in e-commerce is incremental and not coming at the expense of our store productivity numbers. And we are seeing our stores perform back to and above where they were in 2019 as guests continue to come in. And as I mentioned, traffic in both stores and online were very healthy and continue to be very strong moving forward. 
 Specifically online, I think there are a couple of factors. One, as you know, we pulled forward some investments. That was a combination of foundational as well as guest experience initiatives, both in how we merchandise some of our shops. The team has done a lot of good work around just basic efficiency, on checkout efficiency, reducing friction, a lot of the guest-facing initiatives like the online concierge and educator. 
 And it boils down to also product. We saw a very strong engagement on our footwear category through our online channel. Newness around golf and tennis traditionally performs very well in the channel. And we've spent a lot of time in building an omni guest relationship. And I think they are shopping both store and online and when online, they're really diving into the newness early, quickly to ensure they secure it, yet still engaging in our store channel. 
 So it's a combination of a lot of initiatives that we've been building, the team has been utilizing and product is definitely the primary or one of the key drivers of it. But it's boiling down to that behavior and that omni-guest relationship that we've been nurturing and building for the last few years. 
Operator: The next question comes from Adrienne Yih with Barclays. 
Adrienne Yih-Tennant: Let me add my congratulations. Product looks fantastic. Calvin, I was wondering if you could share your insights on what have you learned from the capsule launches in tennis, golf and footwear? They were obviously stocked out very early. You're waiting for some replenishment there. So how have these launches informed you about the next iteration for footwear and other new categories like hike? 
Calvin McDonald: Great. Thanks, Adrienne. A couple of things, and I'll start with footwear and then I'll move into some of the play capsules that we launched. With footwear, as we've shared, it's a test-and-learn category for us. We're excited about it. We think it's an exciting opportunity for the brand moving forward, and we're going to take a test-and-learn approach, which meant we sort of went in knowing that demand would be in excess of supply and it far exceeded our expectations. 
 And we definitely had a lot more demand than we anticipated. Encouraging, but definitely impacted supply quicker than we would have wanted in an ideal scenario, but it all points to an incredible product that was well received both in the industry and with the guest. And the team is focused on learning and adapting. What's challenged that a little bit is the global supply chain challenges, and we're not going to pay to fly in footwear. So we're going to build the category and we're going to learn as we go. 
 But we'll be back in stock on Blissfeel this month. But we expect that we'll be going through these periods as we have some incredible colors coming that we expect the guests will resonate with. We have our slides in both men's and women's that dropped this week, and we've already seen a very positive response to that. And then Chargefeel and Strongfeel will launch later this summer and fall. So we're excited about how the guest is responding and the teams are learning, and I think it's a very positive indication of our ability and the elasticity of our brand to extend into categories, really offer a head-to-toe solution and when we deliver on unmet needs. 
 And golf and tennis really fit into that where we design a small percentage of products that are designed specifically for those activities. And then we also leverage our core assortment to drive versatile opportunity and solutions as well as activities, and both performed incredibly well, as you indicated. I mean having Leylah Fernandez as our ambassador on our tennis has been fantastic. And leveraging golf during both the Masters and the PGA Championships in the future is a wonderful opportunity to put a spotlight on our product and our assortment, and in hike. 
 So team's learning. It's one of those indications where I think Meghan said we wish we had more, but it's delivering both sales in those products and lifting our core, which is the strategy, and it's resonating, and it's working well in both guest acquisition and expanding share of wallet with our existing guests. So we're excited about how the guests responded and with newness happening in this quarter and the rest of the year. 
Operator: The next question comes from John Kernan with Cowen. 
John Kernan: Excellent. Congrats on a great quarter and momentum. Maybe I wanted to go back to the supply chain and Paul's average unit cost question. I guess where are there offsets for you in what's a rising supply chain cost environment? Obviously, some of the air freight will come down in the back half. Your markdown rates are very low, and you've got pricing power. But where are the areas to offset within the supply chain and what looks like an inflationary environment into 2023? 
Meghan Frank: Yes. So I'd say there, to date, we've seen modest increases in terms of raw material prices. And we have started taking some price increases in Q1, as I said, modest and will be less than 10% of our assortment. We haven't seen any price resistance to date. And we'll continue to have a few actions as we roll throughout the year there. So we'll continue to look at that as a lever.
 I think when we look at our operating margin overall, we are modestly for the year under 2019, even with that 300 basis point pressure of air freight. So I feel as that environment moderates, we should have some opportunity in front of us in terms of recouping the air freight pressure. And we continue to look across our business in terms of opportunities to deliver on our 5-year average target of modest operating margin expansion, obviously, navigating those near-term challenges with air freight and ensuring importantly that we continue to drive the momentum in our business through key investments as well. 
John Kernan: Understood. Maybe one quick follow-up on inventory. As we all look at inventory balances across the sector, some of your peers in the competitive set, inventory dollars and units are up pretty meaningfully at this point. I guess, just the confidence in the ability to maintain full price sell-through, confidence in the competitive sets, ability to maintain full price sell-through as we go into Q3, Q4 and what's going to be much higher inventory levels throughout the sector into the holiday. 
Meghan Frank: Yes. So I think when we look at our inventory on a 1-year basis, the rate -- the growth rate includes air freight impacts and then also higher in-transit with those longer ocean durations. And then also, we're comparing to periods of being under inventory last year. So that would have been relevant for Q1 of 2021. We feel the most relevant way to look at inventory as we navigate these supply chain disruptions and the comparisons to the pandemic period is to look at the 3-year unit CAGR. And that is really consistent with how we're looking at planning our business.
 So that 3-year unit CAGR for us at the end of Q1 was up 36%, 5 points impact included in that for longer in-transit time. So adjusting for that 31% unit increase, we think, is well aligned with our top line momentum. So when we look at that 3-year revenue CAGR, it's 27% in Q1 and then 26% in terms of our Q2 guide. And then I'd say, still really pleased with full price momentum. Our markdowns in Q1 were relatively flat year-over-year, still 40 basis points below 2019. 
 So really looking at leveraging also the core and nonseasonal nature of our business, which is about 45% of our assortment as well. We tend to have low markdowns overall and don't see a change to that posture as we move throughout the year. 
Operator: The next question comes from Omar Saad with Evercore ISI. 
Omar Saad: I wanted to dive in a little bit deeper in China. I know it's still a relatively small piece of the pie for you guys, but a huge part of the long-term growth algorithm. Putting aside the current kind of COVID lockdowns and things going on there, maybe talk about what's changed for the brand in China? That's been, I think, well over 10 years in the Greater China market at least. There seems to be some sort of inflection going on. Maybe dive in deeper what's going on with that brand and that consumer in that market through the premium and athleisure and athletic wear market. 
Calvin McDonald: Thanks, Omar. I think we've shared that even with the challenges that you alluded to, our year-over-year growth was still double digit in China and our 3-year CAGR is 60%. So there's definitely strong momentum behind the brand and very excited about the rest of this year and moving forward. These are short-term operational challenges. We've lived this in North America and other markets. We continue to support our teams as we did around the globe in these markets through pay protection, investing in the culture and that's important because that to me is one of the big pillars that's driving the success of the brand. 
 We have incredibly engaged educators and talent at our SSC in Shanghai. We're investing in people and talent. We're investing in relationships with the community and our ambassador community within that market. And the product, like it is in other regions, is resonating. It's uniquely positioned. It's differentiated as a premium product. 
 When you get a chance to go to the market, you'll see we're positioned differently in malls. We're positioned differently in terms of how the guest is interacting with the product. And similar to other markets, the same activity strategy is working. The innovation is working. The dual gender is working. So we definitely are excited about -- do agree there's been an inflection in the brand that's been building for the last few years. And this is just a short-term operational challenge that many of us are faced with, but the health of the brand is very strong and bodes well for our future growth plans. 
Howard Tubin: Operator, we'll take one more question. 
Operator: The next question comes from Tom Nikic with Wedbush Securities. 
Tom Nikic: It sounds like you're pretty happy with some of the new categories you've entered, footwear, the golf and tennis capsules, et cetera, and you got kind of more coming down the pipe. Is there any concern on your part about kind of selling too much stuff at your customer in a short period of time, adding footwear and some of these new categories and hike and new fabrication, et cetera? How do you kind of make sure that the storytelling is there and the experience is there to help the customer kind of navigate through all these new product offerings that you're getting on? 
Calvin McDonald: Great. Thanks, Tom. Focusing on storytelling and bringing the guests along with our product innovation journey is definitely a key focus of Nikki and the team, both the merchants, how we tell the story online and how we tell it through the brand, through our relationships that we build with our ambassadors. So it is absolutely a key focus. 
 I'm not worried for a few reasons. One, it is minimal in SKU proliferation, which is designed and deliberate because we know we have highly productive stores, versatile product and we want to continue that. It is a big differentiator of our brand versus most others in this space. And we selectively target a small number of innovative products designed for these activities as a means to grow the overall core. 
 So in many cases, it's how our guests are already sweating and using our product. We are just putting a brand story on it with a small number of design for products that validates, brings credibility already to the product and lifts it. Second, we focused on categories because we know it's how our guests sweat in our product, and it is their primary and secondary go-to activities. So we are delivering them innovative products that through our approach, Science of Feel and unmet needs in the activities that they are sweating and we're just extending the relationship for a brand that they have affinity and trust and confidence in, in delivering products that satisfies how they're choosing to sweat. 
 So we're not stepping outside of the relationship we already have with guests. We are not stepping outside of how they're already sweating in our product, and we're designing specifically into that and leveraging our overall core. And then finally, what I'd say is the immediate response to all this incremental key activities or categories or items, be it footwear, tennis and golf were incredibly strong, which to me just validates the need, the immediate response and reaction, and I'm excited, encouraged with hiking. 
 We know when we bring innovative product that delivers on an unmet need that's focused on these core activities that are the strength of the relationship that he and she has with the brand, it resonates. And I think the results -- well, I know the results validated that. It's a strategy we're going to continue to roll out in the coming quarters. 
Tom Nikic: Sounds good. And I love seeing J.R. Smith as one of your golf ambassadors. 
Calvin McDonald: Thank you. 
Operator: That's all the time that we have for questions today. Thank you for joining the call, and have a nice day.